Operator: Good morning. Welcome to the Waters Corporation Third Quarter Financial Results Conference Call. All participants will be able to listen-only until the question-and-answer session of the conference. The conference is being recorded; if you have any objections you may disconnect at this time. I would now like to introduce your host, Mr. Douglas Berthiaume, Chairman, President and Chief Executive Officer of Waters Corporation. Sir, you may begin.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Thank you. And good morning and welcome to the Waters Corporation third quarter financial results conference call. With me on today's call as usual, is John Ornell, Waters' Chief Financial Officer. And as is our normal practice, I will start with an overview of the quarter's highlights and then John will follow with details on our financial results and provide you with an outlook for the fourth quarter and for the full year 2007. But before we get going, I'd like John to cover the cautionary language. John?
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: During the course of this conference call, we will make various forward-looking statements regarding future events or future financial performance of the Company. In particular, we will provide guidance regarding possible future income statement results of the Company; this time for Q4, 2007. We caution you that all such statements are only predictions and that actual events, results may differ materially. For a detailed discussion of some of the risks and contingencies that could cause our actual performance to differ significantly from our present expectations, see our 10-K Annual Report for the fiscal year ended December 31, 2006, in Part I under the caption Business Risk Factors. We further caution you that the Company does not obligate or commit itself by providing this guidance to update predictions. We do not plan to update predictions regarding possible future income statement results, except during our regularly scheduled quarterly earnings release conference calls and webcasts. The next earnings release call and webcast is currently planned for January 2008. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measure to the most directly comparable GAAP measure is attached in the Company's earnings release issued this morning. In our discussions of the results of operations, we may refer to pro forma results, which exclude the impact of restructuring, purchased intangible amortization and retirement plan transition charges.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Thank you, John. Well, the third quarter results largely indicate a continuation of positive trends that we saw through the first half 2007. And among these trends are improved spending for our global accounts, the expansion of our businesses in Asia and generally healthy industrial demand. In addition, our global business with government and university entities continued to do very well. In all, from a product line, customer segment and geographical point of view, there were no significant surprises with all these segments reporting solid results. So I turn first to our larger accounts. I would describe their spending as improved but not totally robust. Our overall pharmaceutical demand was strong in the quarter, driven again by generic CRO and specialty pharmaceutical customers. Among the large ethical houses we saw the majority improving considerably over last year's sales levels. However, uncertainties in a couple of large firms weighed down on the Group as a whole this quarter. As we come into the fourth quarter, we are more optimistic that year-end spending specifically on our two technology systems will result in a sales pick up for this large customer segment. Geographically, our largest market, the United States continued to perform well with strong double-digit growth. Contributing to the U.S. performance was accelerated demand from pharmaceutical and university customers. Outside the Unites States, the only really major market where we saw some softness in demand was in Japan. We think this weakness appeared related to a general economic condition and we are confident that our competitive position in Japan remains strong and that our sales there are likely to pick up as general spending conditions improve. If you look at our businesses in Asia outside of Japan; China and India are continuing to drive our growth with each of those territory showing strong year-over-year performance. Our recent business reviews in China and India suggests that current growth rate appears sustainable as these countries continue to modernize and build scientific infrastructure, and we continue to invest in people and infrastructure right along with them. Elsewhere, demand in Europe was strong for the quarter led by continued growth in our business in government, environmental and food testing laboratories. As you look at our major product lines, our instrumentation systems growth in the Waters Division continues to be driven by the up tick in ACQUITY UPLC and ACQUITY LCMS systems. Customer feedback on the performance, reliability and broad applicability of ACQUITY UPLC continues to be very favorable and the advantages of combining UPLC technology with mass spec characterization appear well established in the marketplace. Mass spectrometry related system sales grew nicely in the quarter, led by our high resolution Synapt and Q-Tof line and our quadrupole-based detective systems. Synapt HTMS technology seems to be driving a revolution in mass spectrometry as customers exploit new and exciting ways to utilize the technology and applications that range from protein structure and function studies to high sensitivity impurity profiling for biopharmaceuticals. New capabilities that we introduced for Synapt at this year's ASMS, were well received especially the MALDI source option that enables broader application reach for the system. So the first nine months of this year, its clear to us that there is healthy momentum in spending for mass spectrometry technology, and that we are increasingly well positioned with our recent exciting product margins to gain share in this market. We are optimistic that these trends in MS-related demand will continue through the fourth quarter of '07 and we also feel that the exciting new product launches that we have planned for 2008 will further strengthen our market position. As many of you know, we are more than a supplier of advanced instrumentation and that we offer a broad line of chromatography consumables and advanced instrument services. In fact, these sources of profitable recurring revenues are approaching almost half of our sales revenue. In the third quarter, we grew our recurring revenues at a double-digit rate as we benefited from the strong up tick of ACQUITY columns by our expanding base of ACQUITY UPLC customers. This strength that we have developed in designing and selling advanced consumables and services is surely a key to Waters competitive advantage. There is no better example of this than the success of ACQUITY UPLC, where with the advances in the packing material chemistry, they really resulted in a new category of instrumentation that is transforming and invigorating this marketplace. If you look at our TA Instruments business, we are very pleased with the third quarter results, as this division continues to capture larger shares of the thermal analysis and rheology markets. You may recall that TA represents about 10% of our corporate sales. However, their continuous ability to positively and profitably contribute to the Corporation's overall growth has been very impressive, particularly recently. During the quarter, we added another business to the TA portfolio, Calorimetry Sciences Corporation, which is a manufacturer of microcalorimetry instruments that have capabilities to compliment on line of analytical systems that we introduced last year following the acquisition of thermal metrics. Before passing you on to John to review the financials, I'd like to say that 2007 has shaped up as a very successful year for Waters in just about every perspective. Our products are performing well in the marketplace and appear to be driving gains and share. And our financial results relying principally on organic sales growth continued to set the pace for the industry. I would like to briefly review with you a couple of principles today that have and will continue to drive our success. Importantly, we focus on the most relevant and attractive segments of the analytical business. And at time when some companies try for breadth of product offerings and benefits from economies of scale, I think we have demonstrated the advantages of continuously working to be the best in delivering advanced system based solutions, systems that uniquely merge technologies to deliver superior information content and efficiency. I believe that over the past couple of years, we have evolved in the eyes of our customers to become a premier solutions provider and technology partner, the only company to advance unique offerings such as ACQUITY UPLC and Synapt HDMS. On the acquisition front, we stayed close to our comfort zone and look for companies and technologies that are synergistic with our current operations and quickly accretive to both our top line and profitability. Financially, we carefully evaluates the near and long-term implications of our investments and work hard to deliver superior gross margins, operating margins, earnings growth and free cash flow, results that we can deliver today while working towards future improvements. Now look at cash flow, and I feel it's one of the clearest and most objective measures of a company's performance, and when you come down to it, it is what all companies strive for in the long run and its what Waters is delivering at an outstanding level today. This year, we expect our free cash flow will be over 20% of sales. This level of operational efficiency gives us flexibility to invest in our future while providing our investors with unmatched levels of confidence and our ability to leverage investments, acquisition, share repurchases or internal development programs. As an investor whether you are considering investing in the analytical market or more broadly in public equities, I feel there are few companies that offer the top line growth, earnings growth and strong cash flow than we have consistently provided and plan to deliver in the years ahead. Now with that, I would like to turn it over to John for more detailed financial affairs.
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: Okay thank you, Doug and good morning every one. We are pleased to report another strong quarter of financial performance with third quarter results delivering 17% growth in sales and 24% growth in non-GAAP earnings per diluted share. Earnings per share was $0.62 this quarter compared to earnings of $0.50 last year. On a GAAP basis, our results this quarter include $12.2 million charge related to the U.S. transition from a defined benefit pension plan to a 401(k) plan as described in our 8-K filing last month. After tax, this charge amounts to $0.08 per fully diluted share. Our GAAP earnings were $0.52 this quarter compared to $0.49 last year. A reconciliation of our GAAP to non-GAAP earnings is included in the press release issued this morning. Sales grew 17% this quarter with currency providing 3 percentage points of growth and acquisitions providing about 2 points. Examining corporate sales regionally before foreign exchange effects, our sales results were positive in our major geographies, with continued strength in Asia where we saw a 12% increase this quarter versus a difficult base of comparison. Sales within Europe were also up 12%, and in the U.S. sales continued to be very strong and grew by 18%. Sales to most of our large pharmaceutical accounts continue to be a positive momentum and global sales to smaller pharma and biotech customers remain robust. Turning to the product front, the Waters Division had another strong quarter with instrument systems growth of 12%. Our service business grew by 7% and chemistry had 19% growth, which was aided by acquisitions. Without acquisitions, our chemistry business grew by 10%. And our TA instruments division had another strong quarter, with sales up 37% versus prior year resulting from strong new product sales as well as the favorable base of comparison. M&A activity contributed above 5% to this result. Now, I would like to comment on non-GAAP margins and expenses excluding items noted in this morning's press release. Gross margins came in as expected at 57.1% this quarter. Margins were up sequentially this quarter, but down from last year due primarily to continuing foreign exchange cost pressure on European-sourced products. SG&A expenses grew at a rate less than sales, and were up 12% this quarter compared to prior year. Foreign exchange translation and acquisitions accounted for about 5% of this growth. R&D spending was up modestly this quarter. Our effective tax rate this quarter was 14.8% on a GAAP basis. However, on a pro forma basis, our effective tax rate was 18.6% this quarter. This quarter's rate reflects the impact of a year-to-date catch-up of an increase in the full year projected tax rate moving from 15 to 16.2%, as well as a couple of smaller discreet items booked within the third quarter. The rate increase is the result of improved profitability in our higher tax rate geographies. On the stock buyback front, we continue to purchase our shares in the open market and during the third quarter, we purchased 402,000 shares of our common stock for $24 million. On the balance sheet, cash and short term investments totaled $626 million, bringing us to a net debt position of about $284 million. We believe we remain well positioned to fund our future working capital needs and acquisition opportunities. We measure free cash flow as cash from operations less capital expenditures plus any non-tax... non-cash tax benefit from FAS 123R accounting. For the quarter, free cash flow was $72 million after funding $18 million of CapEx and adding back $9 million of FAS 123R tax benefits. Comparable free cash flow last year was $50 million. Year-to-date, free cash flow has exceeded full year 2006. Year-to-date, free cash was $241 million after funding 45 million of CapEx and adding back $19 million of FAS 123R tax benefits. 2006 full year free cash flow was $229 million. Accounts receivable, days sales outstanding stood at 70 days this quarter, up 2 days versus Q3 last year, all due to currency effects year-over-year. Inventories increased $13 million with currency representing about $3 million of the increase. Now I would like to turn to our updated outlook for 2007. Our business prospects remain strong with our end markets and geographies enjoying strong customer demand. Our expectations for the fourth quarter are essentially unchanged from our July guidance. We expect sales growth of 12% for the fourth quarter. In the fourth quarter, we expect a combination of improved gross margins and operating expense leverage to provide for operating margin of around 30%. Net interest expense is expected to be around $6.5 million for the quarter and we expect our effective tax rate in the fourth quarter to be 15.9%. And the fully diluted outstanding shares are likely to be comparable to Q3 balances. Rolling all this together, we currently expect non-GAAP earnings of $1.06 for fully diluted share for the quarter with normal tolerance of $0.01 to $0.02 for the quarter. For full year 2007 then, we expect non-GAAP earnings of $2.84 per fully diluted share with the normal tolerance of $0.01 to $0.02 for the fourth quarter. This represents 24% earnings growth over last year. Doug?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Thank you, John. I think operator, at this point we can open up for Q&A. Question And Answer
Operator: Thank you. At this time we are ready for the question-and-answer session. [Operator Instructions]. Our first question, Quintin Lai, Robert W. Baird; your line is open.
Quintin Lai - Baird: Good morning, congratulations on a nice quarter.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Thank you Quintin.
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: Thank you.
Quintin Lai - Baird: Diving into your large accounts and your outlook for the fourth quarter, what gives you that optimism for the sales pick up especially from, I guess, those two accounts that were a little sluggish. Was it a summer seasonal thing or are you running some kind of backlog number that you are kind of going into Q4 with?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Sure. Couple of reasons... there are couple of reasons why we are reasonably optimistic about what we are looking for in the fourth quarter. The magic of quarterly performance Quintin is that the third quarter of '06 for those couple of large accounts were disproportionately large in the base. So, in the fourth quarter you don't have such a big hurdle to come over with those accounts. And secondarily, if you look at the procurement pattern this year versus what they tell us is coming in the fourth quarter and specific programs that we are working with them on, we have a reasonably higher level of expectation that those quotes are going to result in real orders in the fourth quarter. Now, we're short of absolutely guaranteeing that but, we feel pretty good about our ability to make a forecast in that matter.
Quintin Lai - Baird: And then with respect to just the overall trends that you are seeing, it looks like that all your product lines are showing really good growth. Can you parse out what you think that the underlying market dynamics are and whether you are growing in line with that or do you have any dynamics of market share gains in special like in mass spec?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: I think it's a very good question and I guess, the short answer is, we think we are gaining share and specifically in a couple of areas. It seems little doubt that the result of our ACQUITY UPLC strategy and technology introduction has gained overall market share, I mean its still to the point where we don't think that there is really good meaningful competition for that product and that's what our customers continue to tell us. And I think if you look at an another big segment of our marketplace, which is the mass spectrometry product lines, I don't think that there is any doubt in overall Synapt and our overall high-end mass spectrometry is gaining market share today and I think that the market is growing as fast as we are. If you look at areas like Asia, well, I think we are very much holding our own and doing very well. I think the overall markets in China and India are growing pretty fast, so wouldn't surprise me that others in the market are growing fast also. But you roll all that together, it seems to me that its high to add up everybody's numbers as you know in this market and absolutely on a quarter-by-quarter, get market share. But I don't have a lot of doubt that overall the net result of those dynamics is that we are a little further ahead than [Technical difficulty]
Quintin Lai - Baird: Great, thank you very much.
Operator: Ross Muken of Deutsche Bank; your line is open.
Ross Muken - Deutsche Bank: Thank you. So could you just talk a bit about the sustainability that you mentioned relative to some of the emerging markets and so talk about the mix there? Is it the same sort of customers that are ordering in China and India that were ordering 6 or 12 months ago? Have we seen sort of a broadening out of demand across industry segments, both being pharma and industrial?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Sure, I think if you look at the current areas of the world that are growing the most quickly and I shouldn't hasten to say that one of our fastest growing areas in the world right now is United States. So it's interesting that we see so much strength in the U.S. and I do think that that's sustainable in the U.S. over the next 12 months. But if you look at the very fast growing areas of China, India, Eastern Europe and particularly also the Middle East, places like Turkey, Saudi Arabia, Israel, as the dynamics that are going that is specifically of India and China, we don't see any real near term likelihood that this business stops growing at the rates that we are experiencing. As I said, we have... we spent a lot of time with the senior management group at Waters on India and China in particular recently. We see that it is possible that those areas might accelerate rather than decelerate. The amount of projects that are being laid out in front of us in terms of the need for instrumentation and if you look at India, you're talking particularly about the pharmaceutical industry, weighted towards generic drugs. And these are programs that are on the drawing board and are already under construction, so its not things its pie in the sky. If you look at China, it's a little bit different case. In China, our business is not heavily weighted towards generic drugs or pharmaceutical in total. It's a... it's a much different mix of environmental, food safety, governmental laboratories and pharmaceutical and once again, if you look at the projects just going on in the broadly described food safety and environmental areas in China, those projects look very hard to cancel or to slow down, so I'd say our near end optimism I think is very well grounded in these areas that are growing the fastest, not saying that you can't have a hiccup here or there, but I'd say that we're pretty confident that the underlying factors are pretty sustainable.
Ross Muken - Deutsche Bank: And just quickly as a follow up, I think your comment you made regarding the U.S. was pretty interesting. It's sort of the flip flop of what you would have expected given the weak dollar and every thing that we hear about sort of U.S. industrial demand and across many industries being a bit slower now than it was two quarters ago. Can you just give a little bit of granularity on sort of what's the key components of that, especially with the comments around sort of a mixed bag from pharma. Should we just assume then that it's European pharma that's weak or what is really sort of behind that extremely strong and impressive U.S. growth?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Yes I think again it's a good question. The... I believe that our U.S. performance to what's driving it is more Waters-centric than market centric, it's not a necessarily a broad-based dynamic. I think it's the investments in this whole evolution that I talked about of Waters as a system supplier with advanced technology that focuses on solutions. We, to some I'm sure that sounds like marketing slogan, it's real. We have spent an enormous amount of time, we always have but it seems like in the past year or so even more talking to the senior managers of our key customers and this... and I think ACQUITY UPLC had a lot to do with it where the ability of that technology to make a significant difference in a lot of the work flows of our customers has really been driven home. And we've talked about the fact that this is getting penetration, that it's changing the way customers think and feel and I think you are seeing that and you are seeing across big pharma in the U.S. and you're seeing it across CROs and smaller specialty pharmaceuticals. Also seeing penetration of this in our mass spec technology, particularly in the U.S. into the university marketplace, where a lot of advanced research is going on and they are looking for that improved sensitivity and improved efficiency of those technologies to drive their cutting edge research. So, I think that's what's going in the U.S. market and you would expect kind of that to the early adopter marketplace. It's not that we are not seeing that in areas of Europe, but I am secured saying we are seeing the front edge, the front part of that wave in the U.S.
Ross Muken - Deutsche Bank: Great. Thank you very much.
Operator: Derik deBruin of UBS; your line is open.
Derik deBruin - UBS Warburg (US): Thank you. Good morning.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Good morning, Derik.
Derik deBruin - UBS Warburg (US): Hey. When you talk about the 12% growth in the fourth quarter for the top line, is that all in or just the organic number?
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: That's all in. That would represent probably a couple of points of foreign exchange and may be about a point of acquisition impact.
Derik deBruin - UBS Warburg (US): Okay, great. When... you talked about some new products in 2008, any color you want to give us?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: I was afraid I was going to get that question, Derik. I think what I am comfortable about saying is we are really feeling good about what's on our plate in the mass spectrometry area. You saw us introduce last year the TQD and this is the year one down of Synapt and you are seeing the rewards of that come through in our mass spec area. We clearly feel like we've got good strong momentum in that area, clearly takes advantage of the ACQUITY UPLC as the front part of that system and we are driving that through our R&D programs right now and I'd say that's what I am most comfortable about saying. Watch for ASMS and even at PITTCON next year to see some significant mass spectrometry come into the play.
Derik deBruin - UBS Warburg (US): Great, although I don't know if I am ready to start thinking about PITTCON yet. So when you... can you give us a little bit of color in terms of how big an impact are you seeing from some of the issues on food and consumer product safety? In particularly, I am curious is this been more companies that are buying stuff because they are worried about protecting the brand or is it... is it being government regulations driven right now?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: I would say its an interesting mix of the applications that we are seeing across the world in food safety. A lot of our current business in Asia is I would say regulatory-driven and that's largely driven by European regs, as those producers in Asia have to meet the vigorous European requirements for food imports. We are also seeing a fair amount of food and beverage business that is probably not so much safety related as it is QC and competitive information related, so that's under that broad heading of food and agricultural and that's quite sustainable and unrelated to any safety concerns. I'd say the most current attention on the safety... on the food safety issues is increased visibility in the United States. I wouldn't say that we have seen the big bowls of actual investment in that area, I think that's probably the biggest area of opportunity in the next couple of years because that will focus probably on an increased regulation on requirements for imported food. But I wouldn't say that we're actually seeing that in our order rate, I would say most of our business is coming out of the QA/QC, a part of the food and beverage business, as well as established laboratories there are just meeting increased demands largely in the Asia theater.
Derik deBruin - UBS Warburg (US): Okay. And I guess one final question, as you start to accumulate cash, it doesn't sound like you are going to be particular aggressive in your buyback strategies. I guess you pay down debt or is there the potential for a larger M&A move on the horizon?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: I would say... we never say there is not a potential for a larger M&A, we... but our fundamental strategy is to continue to add to our portfolio with things that are digestible and that add to our overall strategic product portfolio. We are not looking for a major defining acquisition frankly, we think this business can continue to grow at good double-digit rates and produce share holder returns that are amongst the best in industry. We continue to think that our stock is a good buy, we are continuing to buy. We will evaluate that as the stock approaches triple-digits, but I would say right now we are... we think what we've been doing continues to have a high degree of attractiveness for us.
Derik deBruin - UBS Warburg (US): Right. Thank you.
Operator: Jon Groberg of Merrill Lynch; your line is open.
Jonathan Groberg - Merrill Lynch: Good morning. Congratulations on a great quarter.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Thank you, Jon.
Jonathan Groberg - Merrill Lynch: Just a few fairly quick questions. I mean, last quarter you mentioned that UPLC demand would approach that of HPLC, I think was your word. I just wonder where we were with that and maybe get some context what percent of LCs sold this quarter with UPLC versus HPLC.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Well Jon, we are not currently providing that kind of competitive information, but what I'm comfortable... I think the line that I've used in the past is that UPLC was growing north of 25% and less than a 100%. I'll be wiling to say now narrowing that range a bit growing more than 30%, less than a 100%. It's continuing to do very, very well. It's not showing any signs of coming of, it's very fast growth trajectory. And interestingly enough, HPLC while not growing anywhere near that rate, continues to grow. So, there is no question that if we're right, those curves are going to cross at some point in the next couple of years but...
Jonathan Groberg - Merrill Lynch: But we're not there yet.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Not there yet.
Jonathan Groberg - Merrill Lynch: Okay
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: And that's just despite very fast growth in UPLC.
Jonathan Groberg - Merrill Lynch: And just a follow-up on that. As it grows as quickly, you've mentioned before a very high attach rates primarily because these are being used in R&D. And are they still mainly going into R&D and sort of the attach rate for the new columns still kind of 90%ish or is that coming off some, as they move into different applications?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: No, the consumables rate on the new systems is very high with per system. You are seeing that in the ACUITY column growth that is very close to 100% annually. So we are very happy about how the customers are responding to the consumables with the UPLC technology.
Jonathan Groberg - Merrill Lynch: Okay. And then...
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Does that answer your question?
Jonathan Groberg - Merrill Lynch: Yes, yes. And then on the financials, a quick question. Gross margins came in line with what we were expecting, you obviously got very good leverage out of SG&A into growth and R&D. I am just wondering about the sustainability of the SG&A and R&D kind of levels or trajectories relative to the revenue growth that you are seeing. I mean is this the type of leverage that you expect kind of as we go out into '08 or do you see a need to may be as you're looking back over the years and the level that you are reaching always in the third quarter of SG&A as a percentage of sales are getting low? And just maybe you can mention qualitatively if you think you are going to need to invest more in SG&A and R&D as we look out into '08?
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: Yes I think, if we look at our traditional model, we generally look at ourselves as being about a 10% top line company, top line growth company. Certainly, we are beyond that this year and we have invested in SG&A at a higher rate than we would historically to support that growth. But as we look to next year, we would... at this stage, we are expecting double-digit top line growth again. And I would submit that early on we should still be able to create a couple of points gap between the growth in SG&A and growth in sales for the next year, right in the middle of the budget process, but I would feel comfortable saying that that type of a GAAP ought to be created as we look at the needs for investment in SG&A going forward. I think on the R&D front however, you are looking at a year this year, even our investing in headcount that isn't obvious as you look at the financial results and R&D is growing somewhat anemically this year, but its really due to a phase of comparison where last year there were significant investments made like in three large mass spec problems that were going through the pipeline. So I would say that you are looking at a kind of a point off the line this year and rather small growth in R&D and our expectation going forward would be to grow R&D about equal to sales as we look at some of the projects that were on tap for 2008.
Jonathan Groberg - Merrill Lynch: Okay, great. And, then last two quick questions. One, just if you can give any update, I know the Flextronics Solectron merger was completed in the beginning of October and that was one thing you were kind of waiting just to see how that shook out before you made your plans grow more to Singapore. I was wondering if you could comment on that. And then the second quick one on buy backs, Derik alluded to, any particular reason given the cash that you generated, I think you bought back around 70 million last quarter and about 20 million or so this quarter, just any reason for that decline?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: There's no reason, no principle reason for the decline. It doesn't signal any fundamental change in our buy back.
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: And, I think on that front we have talked about may be a couple hundred million dollars this year of buyback and reserving may be a 100 millionish for M&A. We front end loaded that given where the stock price was let's say, for a full year basis we're principally on target for December for what we said we are going to do.
Jonathan Groberg - Merrill Lynch: Okay.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: And, on the Flextronics front, we've had further discussions in terms of our strategic positioning in Asia. I'd say right now we are reasonably secure in planning to pursue and proceed with that overall plan and think that over the next couple of years, you'll see us build up our Asia position, much the way we had intended to do with Solectron.
Jonathan Groberg - Merrill Lynch: Okay, thanks guys.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Welcome.
Operator: Tycho Peterson of JP Morgan; your line is open.
Tycho Peterson - J.P. Morgan Securities: Good morning.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Good morning Michael.
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: Good morning
Tycho Peterson - J.P. Morgan Securities: Wondering if you can comment at a little bit may be on pricing trends here, it sounds like a lot of commentary generally has been about growth overseas and then may be in areas such as generics and then obviously in the applied markets like food testing and... how do we think about the pricing dynamics there? You've a very good job refreshing the portfolio, at that kind of high end. But how do we think about what the pricing dynamics are like as your customer base evolves?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: I think there has always been a level of price competition in our industry particularly if you look at our chromatography marketplace. There have always been players who choose to compete based on a cheaper system, and some of these surprisingly larger competitors sometimes adopt that strategy. We have never really utilized a low price strategy even to gain share, I think we've been remarkably consistent really certainly for the last 20 years if... in following a differentiation approach to our marketplace. And if you look at our gross margins, and you look at our financial performance, you can see that there is very little in the way of price erosion and I think that's still true and it's a strategy, it's a result of our strategy as opposed to anything else. And I don't see a dynamic evolving that's really challenging that. Our UPLC products, our HPLC products are holding very firmly in the marketplace, yes, this forever some moaning from our field about customers that are giving away their products etcetera, but no level of noise that's any different from what we hear in an average quarter. If you look at the emerging areas of the world, the prices have held consistently and yes, there is competition there, but we hone to our fundamental strategy of bringing a system solution to the customer and it's a remarkably effective strategy regardless of where we go, whether its India, China or New Jersey, its been very effective and in well conditioned, so I don't see its changing.
Tycho Peterson - J.P. Morgan Securities: Okay. And I think in your comments, you do mentioned, you are talking a lot more to senior managers and moving up the value chain within your respective customers. Is this naturally driving a lot more bundling and then second follow up to that is, is there an increased need then to expand the service offering and kind of propound on your broader portfolio?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: I don't think so. I mean I think it's... certainly ACUITY UPLC has a lot to do with it. And not say this also, if you at these large accounts, there is a growing appreciation that they need to do things differently and they are under enormous pressure from generics and from regulators. They need to do better in terms of the data needs and tying together all there operations, they need to drive productivity and efficiency. And it's a remarkable thing about it or may be not so remarkable is that in that environment, why a cheaper instrument has remarkably little selling power to them. They are looking for ways of how they can substantially change the way they are doing R&D and when you talk to them about what ACQUITY UPLC or Synapt can do for them, that resonates as opposed to, I'll sell your five cheaper UPLCs. So it's absolutely clear that the level of customer who is taking that into account was looking at changing how they are doing things fundamental in their operations, whether its clinical... clinical trials, the front end of R&D or QA, QC. That degree of discussion on those accounts is noticeably higher today than it was say 5 or 6 years ago and I think that's what's driving things and the recognition that... UPLC, HPLC and mass spectrometry is at the heart of what these companies do. And I'm not talking about GC or spectrophotometers, it's just they have to focus with the heart of their R&D and development activities are and are frankly I think, we offer the breadth in those technologies with consumables, with the instruments, with the data, with the information services that it's hard for others to compete with us. So, it doesn't surprise me that they are turning to us for this and I think you are seeing it in the kind of business that we are driving through these accounts.
Tycho Peterson - J.P. Morgan Securities: Okay. And on ACQUITY, I think it's been about a year and half since you opened it up to competitive systems in terms of integrating it. What's been kind of the net effect looking back there, I mean, have people been putting in ACQUITY on a thermal and ABI system or ...
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Yes, unquestionably, our penetration as a UPLC in the mass spectrometry systems is unqualifiedly successful in that area. So, its not just a grudging position, I would say its almost a universal position that ACQUITY UPLC has, if not the leading position what I would quite easily forecast to be the leading position at the front end of competitive mass specs in the not too distant future.
Tycho Peterson - J.P. Morgan Securities: Okay. And then finally just on Synapt, can you give us a sense of where we are in the adoption cycle right now, both maybe in terms of customer base, are we rapidly moving beyond the earlier adopters here and then are there new application areas that are merging that weren't obvious 6 months ago?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: I would say the... it's still early in the curve, but the growth rate is very high. I would say the current purchases in these systems are still heavily weighted into the protein structure marketplace. We are seeing a great deal of interest in metabolite ID and other areas, but early on let's say its the high end academic research centers that are very interested in the technology, but I'd say the amount of enthusiasm and quote level that we have out on Synapt are and across these applications is very, very high.
Tycho Peterson - J.P. Morgan Securities: Okay, great. Thank you very much.
Operator: John Sullivan of Leerink Swann; your line is open.
John L. Sullivan - Leerink Swann & Company: Hey guys, good morning. Just a couple of very quick ones... and congratulations. The... can we just talk about the pharma; the global pharma customer group for one more second? You've had very good success for a few quarters in a row now with this customer group, with success in driving business. Does it change the way you think about the fourth quarter potential for these customers and specifically, these customers' traditional buying pattern where a lot of the business comes through in the fourth quarter? How does the first three quarters' strength change the way if at all, that you look at the fourth quarter potential of these customers?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Well, I'd say, discreetly we think that our opportunity in the fourth quarter is good with large pharma. As I said, that's two things; it's the level of understanding and quote activity and looking at the specific programs that we have going on with the 15 or 20 largest accounts. It's the fact that the only... I mean it's the really largest pharmaceutical account that are the most troubling right now, and we understand that particular account pretty well and we think we understand what's likely to come in the near-term and that's better than what we've seen in the past quarter. In effect that... just the magic of how quarterly business fell last year, the challenge in the fourth quarter for those large accounts is not nearly as high as it was in the quarter that we just passed. So, that's not necessarily a statement about the next two or three years, but in the near-term it doesn't cause us a great deal of concern.
John L. Sullivan - Leerink Swann & Company: Great, I appreciate that. And then lastly, you talk about Synapt and a particular application you outlined was high sensitivity impurity profiling. Is that in the manufacturing processing, is it in biopharmaceuticals or in pills as well and is it actually occurring in the manufacturing process or is it occurring in drug development?
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Its principally today in existing biopharmaceutical manufacture, John. I'd say is where the great deal of interest is amongst the people who are trying to characterize their biopharmaceuticals and as you know that analytical challenge is pretty significant and I think we now see the Synapt as a tool that better than anything else is in the ability, both the ability to characterize things that they couldn't see before as well as having to do with it to avoid risk. And so that's what we're talking about in terms of impurity identification, and that's essentially with people who are in the market today.
John L. Sullivan - Leerink Swann & Company: That's very helpful. Thanks and congrats again.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Thank you.
Operator: [Operator Instructions]. Quintin Lai of Robert W. Baird; your line is open. Mr. Quintin Lai, your line is open.
Quintin Lai - Baird: Hi thanks for taking the follow up. With respect to tax rate, you said that there was a true up to get it to 16.2%, but then in the fourth quarter now you're saying 15.9%. So I guess why isn't fourth quarter just a 16.2 and then that kind of going forward John, do you think that 16% is kind of a good rate?
John Ornell - Vice President, Finance and Administration and Chief Financial Officer:
.:
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: What an excellent question because that's the question that the CEO has asked 3 times in the wrap up of this quarter.
John Ornell - Vice President, Finance and Administration and Chief Financial Officer: Welcome to the world of FIN 48, unfortunately. When you... within the quarter we had a couple of adjustments associated with estimates of liabilities for the U.S. return in the mass tax return from '06, the combination of which resulted in the fact that we had to true up those estimates all within the third quarter, nothing gets smoothed across the entire year's rate. So those couple of amounts, when you include them in kind of the run rate pro forma of tax rate comes to 16.2% for the full year, but on a run rate basis, when you exclude those couple of items, you're back down to 15.9%, which would be kind of a starting point for looking at what the tax rate might be going forward. So again it's taking that full impact all within the third quarter and not smoothing it across the full year rates.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Quintin, the way I think is easiest way to understand it is it's almost $1 million of tax provision in the third quarter, its kind of a one-time item that unfortunately the tax laws require. The accountants require you to put that through your provision all in the third quarter and then it goes away in the fourth quarter. So, confusing, but that's the way require to do it.
Quintin Lai - Baird: Well, thank you very much for the clarity. I much appreciate it.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: You're welcome.
Operator: There are no further questions.
Douglas A. Berthiaume - President, Chairman and Chief Executive Officer: Okay. Well, thank you all for participating and we'll all look forward to meeting again after the fourth quarter. Thanks again.
Operator: Thank you. That concludes today's call. All lines may disconnect. Once again that concludes today's call, all lines may disconnect.